Mia Nordlander: Good morning, everyone. My name is Mia Nordlander, I am Senior Vice President, Investor Relations at Kambi Group. Today, I have with me Kristian Nylen, our CEO; and David Kenyon, our CFO, who will start today with presenting the quarter. Thereafter, we will have time for questions. You can either call in through the telephone conference or send them directly to me through the web chats. So, once again, very welcome, and over to you, Kristian.
Kristian Nylen: Thank you, Mia, and good morning. I will start with a brief overview of our first quarter, after which David will take over and go through the financial performance. And then I will come back and speak more about the quarter in a little bit more depth. I forgot to shoot agenda here. So the quarter, I would say that overall, we are very pleased with the quarter and I think we have a very strong financial performance yet again with a 25% operator turnover growth if you exclude the DraftKings’ numbers from last year. Most of this turnover growth is coming from existing operators, growing in new markets and most notably maybe New York online and Connecticut. And I think Dave will go through these numbers more later on. As we communicated already during the Q4 report, we have extended the Kindred partnership until the end of 2026, and that gives us financial security with the revenues from Kindred for yet another 5 years. And at the same time, we announced the ability to repay the convertible bond, which means that we have much, much more flexibility with our strategic options going forward. During the quarter, we strengthened our position in North America with 2 new partnership signings. One is MaximBet and the other is Torstar, and I will talk more about them later. And just after quarter, we launched in Ontario. There was a few really big events in the Q1. Super Bowl, of course, the biggest event we have on a yearly basis, and March Madness, the playoffs in the college basketball in the U.S. I will go through our product performance later on, but I’m very happy to see that we managed both these events without any disturbance whatsoever. With that, I hand over to David. I’ll come back later. Thank you.
David Kenyon: Thanks, Kristian. So overall, I’d say we saw a very strong financial performance this quarter. We continue to be profitable. We continue to be strongly cash flow generative, and we have a powerful balance sheet, which positions us well for continued growth. When you see the comparatives, of course, there will be some headwinds that we’ve mentioned previously, but just to reiterate, the DraftKings migration that took place in the second half of last year, that’s -- obviously, shows in the numbers. In Q1 last year that there’s -- DraftKings numbers are present. There’s nothing in -- here in Q1 2022 numbers. And also in the Netherlands, where some of our operators are still to obtain a license. And of course, Q1 2021, again, there are figures included for Netherlands from those operators. But I’d say operator turnover was extremely strong this quarter. And combined with an 8.2% operator trading margin, it gave us an overall revenue figure for the quarter of EUR 36.9 million. Costs of EUR 29.5 million were in line with our expectations. And this gave us overall an operating profit of EUR 7.3 million at an operating margin of 19.9%. We also generated EUR 5.5 million in terms of cash flow from operating and investing activities, excluding working capital movements. And this gave us a net cash position at the end of the quarter of EUR 72.4 million. And this gives us firepower to continue using our balance sheet in the future, whether for M&A or for further share buybacks. This is the Kambi turnover index. It’s an aggregation of the results of all of our operators in the quarter, over time as well. The blue bars is an aggregation of the turnover generated and that’s on an index basis, which we set at 100 when we started the business. The orange line is an aggregates of the trading margin made by the operators. That trading margin was 8.2% this quarter. More on the turnover then, at 757, now it’s consistent with Q4, and I think this is largely driven by the sporting calendar. So there are some quite big factors here to explain. Firstly, American Football, Q4 saw a full quarter of activity, whereas in Q1, we just saw the playoffs and the Super Bowl and the last few matches of the college football season. However, in basketball, this offset the American Football effect, we had a full quarter of college basketball, including the March Madness tournament. On the European football front, there were actually quite a lot fewer matches in Q1 than Q4 in the Champions League as it moved from the group stages to the knockout stages. So overall, 757, roughly in line with where we expect it to come. Probably more explanation needed on the movement from last year on the 1056 down to 757, and I’ve set these out on this slide. Firstly, the headwinds I mentioned previously. So the DraftKings migration which took place during the second half of last year, that’s actually contributed approximately 40% of last Q1’s turnover. So a huge part that’s come out versus this year. And secondly, the Netherlands regulation, as mentioned, a few operators are yet to obtain a license. And we look forward to that happening, which will be a tailwind to our business when that does happen. But then on to all the factors which have actually boosted our turnover versus Q1 last year. Firstly, new operators, we’ve signed quite a number since this time last year, and some of those include BetCity and JVH in the Dutch market and the Belgian National Lottery, and we’re very pleased with the progress of these operators. We’ve also launched into various new states in the U.S., including Arizona, Connecticut, Louisiana, and most recently, New York online, all contributing now to the Q1 ‘22 numbers. And we’ve seen our existing operators grow both organically and expanding their geographical footprint. So all-in-all, excluding that DraftKings number, 25% growth in operator turnover, a number we’re very pleased with. Finally, I just want to talk you through the Kambi revenue conversion. So how that 28% decrease in operator turnover, after FX, ended up in just a 15% decrease in revenue. First thing to mention there the operating margin, 8.2%, that’s against 8.5% Q1 last year, so a small negative for us on the margin front. But the biggest impact is in the other column there, which pushes up the deficit from 30% to just the 15% overall. The biggest factor here is the way we structure our contracts. So we structure our contracts in many cases with tiers with significantly lower commission rates on the highest parts of the operator activity. So you can understand when we lose a big operators such as DraftKings, overall, we end up with actually a higher effective revenue share across the network. Secondly, we have more live events here in Q1 ‘22, which is not linked to the operator turnover but does drive revenue for us. We also have other fixed revenues, which again are not linked to the level of operator turnover and are pushing that other bar up. And finally, we had a full quarter of Abios revenues, the acquisition we made in the end of last year, which again is not showing in the Q1 ‘21. All of those contributed to overall 15% deficit in revenue. But yes, significantly lower deficit than the operator turnover would initially indicate. So yes, very strong financial quarter. And with that, I’m going to pass you back to Kristian.
Kristian Nylen: Thank you, David. So we have 4 key pillars that drives our study, and we usually try to update you on some of the progress here. And this time, we have progress when it comes to our core platform and our differentiation and empowerment. So first, I would like to talk a little bit about our modernization strategy. As I have communicated before, this is, firstly, developed -- driven by increasing our efficiency in our own IT development. And by modernizing the service more and more, we get higher efficiency in our development. Secondly, we believe that with this modernization, we will be able to give our existing partners, greater possibilities for differentiation. And finally, and where we are hoped to go by the beginning of next year is to start launching modules as a standalone service and create new revenue streams. This quarter, we haven’t done quite a lot of progress on what we’re doing, especially when we talk about the data and pricing interface, where we within a few weeks will be able to start launching our first internal pricing unit through this interface. And in the summer, we hope to be able to push all Abios new orders product through this interface. On the front end, we have also started with an implementation of what’s called GraphQL that enables more flexibility for data queries from our customers in their endeavor to create a stronger front end on our APIs. And we are in the process of creating new standalone services, and I will communicate more about that in future quarters. Another thing we have been working on and launched this quarter is automated offering filtering. We have more and more complexity with more and more regulations across the world. It becomes very important for us to be able to automate some of our filtering for what we can offer in different regulations. And I can take some examples. In Sweden, you are not allowed to offer events on -- under 18 players. In New Jersey, you’re not allowed to offer the college teams in the state or matches played in the state, and so on -- in many different regulations, many different rule sets. And you can solve this manually, but it opens up for a lot of mistakes. So with this, I think we have tightened up the risk of making any mistakes, even though we have been very, very good at delivering a compliant product. It also makes it much, much more scalable and cost effective. And finally, it creates much wanted speed to market with a very, very high-quality product from day one. Bet Builder, during the quarter, we have launched both ice hockey and baseball Bet Builders. And as you can see -- I showed this graph last time, so I won’t go through it too much this time. But as you can see, we are comparing very, very well to the 2 market leaders when it comes to this product. During Super Bowl and March Madness, we did some internal product benchmarking against the top 3 operators in the U.S. And as you can see on this graph, in our perception, at least, we hold up very, very well. And I would say, especially on the live betting we are a stronger supplier than any other existing market leaders at the moment they can deliver when it comes to a product. I think there is one big gap for us at the moment and that is a Bet Builder on basketball, which takes down our grade internally on basketball. But this is intentional. We knew that we wouldn’t be able to produce a Bet Builder through the start of the season, so we choose to do baseball first, and we will be ready with a Bet Builder for the basketball season next year. During the quarter, we did 11 partner launches in various states. Of course, maybe the most important of these launches was to -- on day 1 the online on the market opening in New York State. We have 2 partner signings as well, MaximBet, that we signed a multiyear sportsbook partnership with. And we are very soon to be launching the first states with MaximBet. And the NorthStar Gaming, which I hope will be a very strong local player in the Ontario market. And I think we are very close to be able to launch with them as well. Talking about Canada, Kambi is now live in Ontario with Kindred, LeoVegas and Rush Street. We became one of the first sportsbook providers to obtain a regulatory approval to launch in Ontario. There are still some of the big ones who haven’t been able to launch in the state. As of now, since just -- I think it was a 3rd of April, we are up and running with 3 partners, as I said. And Ontario has every chance to become one of the largest sports betting markets in North America, and Kambi has very, very strong product. With our Scandinavian heritage, we are great at ice hockey and of course, that’s also the most popular sport in Canada. I wanted to touch a little bit on the sales opportunity we see at the moment in the world actually. So if I start in U.S., I mean, obviously, there are still a few multistate operators that are very interesting to win. And I think we have some decent chances of doing that. But also, I think there is many states that hasn’t opened yet. And some of the larger states are still up for grabs. Especially in California, we believe that it will be very much a state that is dominated by local players, and of course, I think California is almost 1/3 of GDP in the U.S. Texas, the second largest state in the U.S. is also progressing well. In Latin America, Brazil is nearing regulation. It’s a massive country, and I believe we have some great opportunities there as well. And in Canada, there is still some big local brands yet to select their sportsbook partner, and I hope we have a great opportunity there. In Europe, as I have communicated before, we definitely see that there are Tier 1s considering their strategy and may have been in-house before and looking at an outsourcing strategy now or in some other cases, changing from existing third-party supplier. And finally, Asia, it’s more of a longer-term prospect, of course, but I mean it’s a huge market when it happens. We see that it’s moving in Philippines already. But what we really are looking forward for is, what we see tendencies of movements in both Japan and India. During the quarter, we have also been recognized by Global Gaming Awards as the best retail supplier and the best online sports betting supplier. This is awards, of course, that is voted by peers in the industry. So we’re very proud of winning these awards yet again. In addition, I also wanted to point out, that Eilers & Krejcik who is doing a report on sports betting apps in the U.S. pointed out that they’re testing during the quarter indicate that Kambi is definitely the third partner supplier of choice in the U.S., and we are powering 3 of the top 10 apps in the U.S. And last night, actually, we won yet another award as the top sports betting supplier by EGR North America. I just want to remind you that we are just as last year coming back to Kambi’s festival of sportsbook this year. And that will be held on what’s the date..
Mia Nordlander: …in 23rd to 27th.
Kristian Nylen: Yes, 23rd to 27th of May, and you can register on www.kambi.com/festival.And to summarize the quarter. The financial performance remains very strong. We’re very happy with the numbers we can produce. Very much as I pointed out on the sales slide, momentum continues to build across Americas, and we hope to see a lot of more regulation going on. And the proven product excellence, we can show for is really driving success going forward. Thank you very much.
Mia Nordlander: Thank you, Kristian and David. And now it’s time for questions. So if you want to ask a question, you can either call in or send them through the web. But we will start with a telephone question. So over to you, operator.
Operator: Our first question comes from Oscar Ronnkvist from ABG.
Oscar Ronnkvist: A few ones from me. So first, I wonder if you had any comments on the convertible bond. If you could elaborate on the benefits that you see once you can repay it?
Kristian Nylen: We don’t really have more comments than last time. There are some benefits. I don’t really want to elaborate very much about it. But obviously, we create more freedom for ourselves if and when we decide to repay the bond.
Oscar Ronnkvist: So is there any specific reason why you haven’t repaid it yet?
Kristian Nylen: Yes, again, I really don’t want to comment on the specific reasons, but there are some benefits of not repaying it and we -- but we can do it whenever we want to do it. And I think that is the most important thing to know.
Oscar Ronnkvist: So next one, just roughly speaking, when do you expect it could be possible to see your first client signing for modular offering, i.e., not taking your turnkey solution. So just to clarify, I mean, the timing when you could potentially start to negotiate deals if that will be distinguished from the development?
Kristian Nylen: Yes. As I have mentioned, I think realistically, early next year is probably when you will see us starting taking deals on a moderate service.
Oscar Ronnkvist: How do you see the competitive landscape developing? So for example, I know that Pragmatic Play recently entered the sports betting market and signed what it seems to be quite an interesting clients. So just -- do you have any comments on the competitive landscape?
Kristian Nylen: I mean, in general, I would say the landscape is less competitive now than it was a few years ago. I think we’ve -- especially SBTech disappearing from a market as a B2B supplier, I think we have seen less of a competition the last year. There will obviously come in new entrants to the market, but I feel we have a very, very unique position as a top-tier provider of sports betting services.
Oscar Ronnkvist: Just a final one. Is it possible to get a comment on current trading for the start of Q2? So like anything on the sporting events, is it like punter-friendly results, anything on the start of Ontario? And any comments would be helpful.
Kristian Nylen: Sorry. We have always refrained from comment on it since many of our operators are listed as well, and we’ll let them comment on the start of the quarter.
Operator: [Operator Instructions] Our next question comes from Viktor Hogberg from Danske Bank.
Viktor Hogberg: Could you help us with Abios, how much it contributed to revenues and results for OpEx in Q1?
David Kenyon: Sure. Yes. It was approximately EUR 0.5 million on revenues and around EUR 150,000 on an EBIT level from Abios.
Viktor Hogberg: I think you said in Q4 that Abios revenues were somewhere between EUR 0.5 million to EUR 1 million on a quarterly basis. Is that still true? What do you expect going forward? And just the momentum in that business now that you’re part of it can start to cross-sell.
David Kenyon: Yes. I mean, typically, I mean, for this year, we’re going to be seeing between EUR 0.5 million, I’d say, maybe towards the low end of that range of it. But yes, that would typically be the quarterly revenue number and hopefully at a profitable basis like we saw in Q1, yes. And then in terms of the future, I think when they soon start selling their odds products, I think that will be the real kind of boost that business to that business from those numbers, which are already profitable without it, but that could be the real boost.
Viktor Hogberg: And timing for that? Potential time?
David Kenyon: I think second half of this year is best estimate.
Viktor Hogberg: What are you hearing on Brazil? You didn’t mention it in the Q1 report, the regulatory status there. So what’s the date, just what are your thoughts on sports betting and potential timing for go-live once regulated?
Kristian Nylen: Yes. I mean it’s impossible to speculate. I mean, we have seen it before. I mean my favorite example is the Dutch market that took over a decade from when we start talking about it. So we still hope very much and it’s a good indication that it could happen this year, but it’s impossible to speculate about it.
Viktor Hogberg: And on the Dutch licensing for your clients, you said that you’re expecting the headwind to ease soon. That’s more than some operators have said on the situation. What’s the latest in terms of potential licensing in the Dutch market?
Kristian Nylen: Again, I mean, we are not the ones who have a direct contract -- the contact with the regulator. So I think it’s probably better for you to ask about question to the operators than us.
Viktor Hogberg: Since you said it, I think you have -- I assume that you have indications that it might be soon and would soon be licensing during Q2, live in Q3.
David Kenyon: We haven’t got indications.
Viktor Hogberg: I’m sorry.
David Kenyon: We have hope we don’t have indications.
Viktor Hogberg: But have you seen anything change if I would put it like that changed the outlook in either way in terms of timing?
Kristian Nylen: As we said, I mean, we don’t have a direct contact with the regulator. We can be up and running with a flick of a switch. So you have to ask that question to operators.
Viktor Hogberg: So one thing that you do control the OpEx development and the OpEx guidance. Given the Q1 level and also the guidance for Q2, it opens up for quite a wide range for the second half, given that the range is EUR 10 million, EUR 125 million to EUR 135 million in yearly OpEx this year. So could you help us with what’s reasonable to expect? And why did you keep the range this big, given that you’re guiding for half of the year?
David Kenyon: Yes. I mean there’s obviously a lot of uncertainty at the moment in the world with a lot of inflation around, be it through data costs or other parts of the business as well. So there are some uncertainties when we come to forecasting costs. I think we’ve always been quite accurate in the ranges we’ve given and the numbers we’ve hit. So I can’t tell you right now where we’ll be, but that’s why we’ve given quite a big range. And it’s going to be driven by headcount, it’ll be driven by the number of new customers, by new regulations. There’s still quite a few things that are out of direct control. So yes, hopefully, just trust in that range, and we’re confident we’ll hit it.
Viktor Hogberg: Then speaking of inflation, can you do anything on pricing? Is that a part of the discussion? It’s not really applicable to your service maybe, but have there been any discussions on pricing given what everyone are seeing under input costs.
Kristian Nylen: I think most of our pricing is based on revenue share, and that would be quite odd if we changed that due to inflation, I think. Of course, we have some fixed revenues that are just based on the data cost. And if the data cost goes up, we will, of course, be covered for that in higher fixed revenues as well.
Viktor Hogberg: And final one for me. In the CEO letter in the Q1 report, you had something on the maneuverability that the changed amendment or the amended terms with the Kindred and the convertible bond gives you -- that will enable you to add value for all stakeholders and I think you would -- it mean shareholders with that one. So I think it’s quite clear that investors and the market have quite a hard time to understanding the bullish commentaries around the pipeline and this Kindred deal and also the buybacks last year. So maybe if you could help us a bit understanding. On a previous question, you said you didn’t want to comment on the flexibility with the deal, but I think you might have to add some color to it for people to really understand perhaps there are a lot of question marks on the path going forward, whatever you could do to help with that would be good.
Kristian Nylen: Yes. I mean what I can give you is, I mean, I think and hope that most of our listeners are quite aware of what kind of covenants you have around a bond. And I think that should give you quite a good indication of what kind of more flexibility we get by being able to repay the bond if we were to choose to do so. I can’t really give you anything more on that at this point.
Operator: The next question comes from Valter Lindhagen from Pareto Securities.
Valter Lindhagen: There was a question regarding the second quarter there, and you didn’t want to comment on the start of the quarter. But could you say anything about kind of, what year-on-year impact you expect of not having the Euro Football Championship this year that you had last year? If you could give any flavor on that impact?
Kristian Nylen: Yes. I think -- I mean, it is a World Cup year, but it’s a very, very strange World Cup year. We have World Cup not coming until November-December. So the effect, we normally see in the World Cup year will definitely not be here in Q2, and you should treat Q2 more as one of the years when we have no big tournament.
Valter Lindhagen: And then a question regarding Kindred. I mean, there are a few -- it has passed a few months now since the news regarding the convertible bond. And I was wondering if you could share anything regarding reactions from your existing clients on the ability that you now have to repay this bond?
Kristian Nylen: It has not been that much reaction at all, I would say. I think they are -- yes, most of our customers doesn’t really -- it doesn’t impact them with that news at all. So not most much of a reaction at all.
Operator: The next question comes from Jack Cummings from Berenberg.
Jack Cummings: Just one from me. You highlighted in the presentation that some of your Bet Builder capabilities, more specifically in the NHL and MLB give you a competitive edge compared to some of your peers. You also in release provided some stats on soccer and the Bet Builder was responsible. I think it was plus 15% of all pregame bets. I was wondering if you could provide any additional color on the stats for NHL given your competitive edge here?
Kristian Nylen: I would be happy to share, if I had them in front of me. I think what you can do is to go back to Mia later on, and she can provide it for you.
Mia Nordlander: In general, it’s a very popular product, and that’s what we’ve seen here as well. So I think that’s a key message, very popular products and which we will see now launching in more sports and with the beneficial for Kambi and our market-leading position. But if you want more stats, please reach out to me afterwards.
Operator: There appear to be no further questions. I will turn the conference back to you.
Mia Nordlander: Okay, great. We have quite a few questions here on the chat as well. I think we start with the first one to you, Kristian. What’s your view on the long-term market share in the U.S.? Do you expect it to be similar like today or could it change? Yes.
Kristian Nylen: I mean it is very hard to guess to be honest. I mean, yes, the big swings on some of the big operators, it is tough to have a good guess on it. But I still believe very much that we will also see, especially in a state like California, much, much more of local operators getting a very large market share. So I think, yes, where we have been looking at lately after Penn, I think 15% market share would be a great number to strive for.
Mia Nordlander: Okay. Thank you. Another one for you, Kristian. Is the pipeline as strong as ever or has anything changed? What do you see?
Kristian Nylen: Very, very pleased with our pipeline, and I hope that we will be able to announce a few more deals during the year. And as I showed on the picture earlier, I mean it is all over the world at the moment that we have good prospects. So very pleased.
Mia Nordlander: Okay. One question for you, David. Quite a few about buybacks. What’s your view there and the strategy going forward?
David Kenyon: Yes. I mean I think we’ve clearly demonstrated a few months here that we’re happy to use our balance sheet, both for buybacks, but also acquisitions, when we made an acquisition end of Q3 last year. So I wouldn’t rule it out. But equally, I think more importantly, I think we’ve got that strong balance sheet now that gives us the firepower either to use it for buybacks or M&A as we see fit, we will do something with the balance sheet as well as maintaining a strong core, which our customers rely on as well that we do have that strong balance sheet. So definitely wouldn’t rule it out, unless we actively monitor it, and I would say.
Mia Nordlander: Okay. Another one from -- for both of you actually, when do you expect to see year-on-year revenue growth again? Is there anything you can comment on?
Kristian Nylen: I will leave it to you, David.
David Kenyon: I can do forecast. I mean we’ve got to make most of the tailwinds I talked about new customers, new states and organic growth. I mean, those are the 3 things that are really going to drive revenues for us. I’m not going to put a date on it when we get growth, but those 3 things, plus the seasonality we’ve always seen in Q4, Q1, those are the real tailwinds in our business. So we’ve just got to keep selling, delivering the best product and yes, the revenue will come.
Mia Nordlander: Yes. And we won 4 awards, out of 3 awards -- 2 awards, but for prices. Kristian, could you expand on the Tier 1 considering outsourcing strategy?
Kristian Nylen: Yes. So I mean, I can’t obviously give you any names, but what we see in Europe now is that, I mean, there are quite a few operators who are looking at what we have in-house. We struggle to keep up with competition when it comes to a product and they need to do something to be able to be competitive in their markets. So I can’t give you any names, but it’s definitely something we are very, very positive about for the future.
Mia Nordlander: Thank you. Quite a few regarding the modernization strategy. Is there a risk that the current customers are trading down with this strategy?
Kristian Nylen: I think that is one of the pieces that we are still not finished with when it comes to developing the services. Obviously, we are not really keen on modernized in a way that cannibalize on our existing fully managed services. So that’s something we are very tightly looking at.
Mia Nordlander: Thank you. And here’s one for you, David. Can you please comment on how flexible your operating expenses are?
David Kenyon: Yes. I mean, relatively inflexible and so far as a lot of it is fixed and the variable part that we see that flex is up or down with new states or when new customers is quite small, the probably 10% to 20% of the cost base is that kind of variable part. But I’d say, as long as we’re delivering revenue growth and keep doing the right things that I talked about previously, then that scalability that’s inherent in the business model will lead to increased profits ultimately.
Mia Nordlander: Yes. Then we have a question regarding Asia. You haven’t really explored Asia before. And today, you released some comments on it. Can you elaborate a little bit more about the markets and the possibilities? You said it was a bit longer -- further ahead, but...
Kristian Nylen: Yes. And the reason we have not really explored Asia is that we are trying to stay in regulated markets. We see some things happening in Asia that is looking very positive. And I think, yes, closest to it is Philippines that is looking at having some sports betting licenses as it looks like. But for yes, India and Japan, it’s further away. I said before, we commented on it that it’s probably on the horizon 3 to 5 years, and I still believe that is the case.
Mia Nordlander: Okay. Here is one question about operating margin. We raised it a few quarters ago. And now with a Bet Builder, do we expect to raise that or -- guidance, I mean?
Kristian Nylen: Yes. We have raised it several times during the last couple of years. We are always monitoring it. And it’s not impossible, but we are raising it. But there is also a possibility that we are pushing for a slightly improved paybacks to the customers as well, especially on the Bet Builders, where we have very, very high margin at the moment.
Mia Nordlander: Great. And I think we had the last question. Are Penn using Kambi’s sportsbook in Canada.
Kristian Nylen: They are not -- it’s under theScore brand, and they’re using the same provider that we had in -- yes, at theScore in the U.S.
Mia Nordlander: Okay. Thank you very much. And thank you for your questions and for listening to our Q1 report. We will present our Q2 report 27th of July. So I really hope I will see you then again. So thank you very much, and have a good day.
Kristian Nylen: Thank you.